Operator: Good day, and welcome to the Q1 WK Kellogg Co earnings conference call. Today's call is scheduled to last 1 hour, including remarks by management and then a question-and-answer session. [Operator Instructions]
 I'd now like to turn the call over to Karen Duke, Vice President, Finance and Investor Relations. Please go ahead. 
Karen Duke: Thank you, operator. Good morning, and thank you for joining us today for a review of our first quarter results. I'm joined this morning by Gary Pilnick, our Chairman and Chief Executive Officer; and Dave McKinstray, our Chief Financial Officer.
 Slide #2 shows our forward-looking statement disclaimer. As you are aware, certain statements made today, such as projections for the company's future performance are forward-looking statements. Actual results could be materially different from those projected. For further information concerning factors that could cause these results to differ, please refer to the factors listed on the disclaimer slide as well as those in our SEC filings, including the Risk Factors section.
 As we discuss our results today, unless noted as reported, we'll be referencing the respective non-GAAP financial measures, which adjust for certain items included in our GAAP results. For periods prior to the spin-off, results are presented on a stand-alone basis. For periods after the spin-off, results are presented on an adjusted basis and compared to our 2023 stand-alone adjusted results. You can find definitions of each non-GAAP measure and GAAP to non-GAAP reconciliation within our earnings release and in the appendix of the slide presentation.
 I will now turn the call over to Gary. 
Gary Pilnick: Thanks, Karen, and good morning, everyone. Thanks for joining us. For today's call, I will discuss first quarter results, business performance and the progress we are making executing our strategy. You will hear how we're on track in delivering on our commitments. You'll also hear how we're optimizing our business by being a focused, integrated team, which leads to our stable topline and expanding margins. I will then turn the call over to our Chief Financial Officer, Dave McKinstray, who will provide additional detail on our Q1 performance. We will close out the call with time for Q&A.
 On Slide 4, before moving to our financial results, I would like to remind you of the unique opportunity that we have at WK Kellogg Co. If you zoom out and simplify our approach, there are 2 things that we believe will deliver outsized value: first, maintaining a stable topline; and second, expanding EBITDA margin by 500 basis points as we exit 2026. This is the goal of our first strategic horizon. We believe we will deliver significant value for our stakeholders by growing our margin from 9% to 14%, while maintaining our topline. You've already seen the early results as our topline has improved quarter-over-quarter. Add to that, we have discussed improvements in our operating efficiency, our customer service and capacity during our Q4 call and at CAGNY.
 What will you hear more of today and our future calls is how strategic priorities are working together to deliver on our unique opportunity. As we have said, a 14% adjusted EBITDA margin is a milestone, not a destination. We will focus on continuing to drive margin improvements beyond 2026 during our second strategic horizon.
 Now let's look at our financial results for Q1 and see how our performance fits squarely in line with our expectations for this year as well as our long-term model. Looking at Slide 5, you could see our financial results for Q1. For the first quarter, adjusted net sales declined 0.8%, in line with our full-year guidance and a sequential improvement versus Q4 2023. We previously discussed that we would be lapping our last price increase in March, and you likely saw on the public data that our results improved as we moved through the quarter.
 Adjusted gross margin expanded 240 basis points. This performance reflects the benefit of everything we do being in service of cereal and focusing our organization on continued operational discipline and enhanced execution. We delivered adjusted EBITDA of $75 million, 13.6% growth versus a year ago and a margin of 10.6%, reflecting the benefit of improved gross margin. We are encouraged by our start to the year and how the organization is executing our priorities.
 Turning to Slide 6. The U.S. cereal category improved sequentially and was broadly flat in Q1, with volume declining low single digits. And as we mentioned on previous calls, the gap between price and volume narrowed. Our performance in the U.S. lagged the category slightly, as we continue to see the impact of our 2023 list price increase, which we did not fully lap until March. We are pleased with the performance of our core portfolio of iconic brands. 4 of our core 6 brands grew in the quarter despite the headwind from lapping price. And our Canada team delivered excellent results, growing 4.6% during the quarter and extended our category-leading share position by 240 basis points to 39.3%. Overall, the business performed largely as expected, and our Q1 performance has us on track for the year.
 Now, let's look at our strategic priorities on Slide 7, all of which you've seen before. Today, I will start with a brief reminder of each, and then, give you a tangible example of how our priorities work together to drive the business end to end. Our first pillar of driving an integrated commercial plan to win brings together our demand-creating infrastructure with our in-store activation. This priority allows us to operate more seamlessly as we move our products from idea to shelf to consumer's pantries.
 Next, our second strategic pillar, modernizing our supply chain is about delivering meaningful operating improvement gaining flexibility and agility to win in the market and driving increased reliability. As we have said, this is the centerpiece of our margin expansion efforts and also helps to drive our top line. 
 Finally, our third pillar, unleashing an energized and winning culture. This underpins how we do things at WK. It's something we call the WK Way. Now, let's look at an example of how our strategic priorities work together and operate in an integrated way to drive the business.
 Slide 8 demonstrates how we are executing end-to-end with our largest brand Frosted Flakes, which grew dollar sales 1.4% in the U.S. in Q1. First, we are executing our new marketing model, and Frosted Flakes is one of the first brands on which we focused. It starts with a new ad campaign, which we're running in both the U.S. and Canada. The next generation of their great campaign was developed with additional assets, specifically designed for a variety of media channels, including TV, digital and social. These assets allow us to target and expand our reach to different cohorts, notably without additional cost.
 Second, our dedicated sales force is activating in-store. During the quarter, we leveraged in-store programming to highlight the brand and are better utilizing our data and analytics to drive store-specific insights. One example of how our commercial teams are working in tandem is our collaboration with Crocs. Our growth team secured a relevant partner, developed specialized food with a co-branded box and offered specialty Crocs shoes to consumers.
 The partnership of our iconic Tony the Tiger and Toucan Sam characters with the popular Crocs brand brings excitement to the category, and our sales team is selling the collaboration all the way through. They brought our innovation to customers and secured merchandising, allowing us to be ready on shelf and display to excite consumers and to drive conversion for our customers.
 And third, this is all enabled by a reliable supply chain. Better customer service, enabled by OEE improvements means we can fulfill our customer's needs consistently and win new opportunities. Unique pack sizes and culturally relevant innovation allow us to win in different channels and with different consumers. This ability to reliably supply our core and innovation as well as the different pack sizes and formats consumers are looking for is resulting in success across multiple channels.
 We recognize this is one brand, and we still have work to do as we transform our business. But this is a great example of how we're executing our integrated strategy end-to-end across marketing, sales and supply chain to drive positive business results.
 Now let's turn to Slide 9 to discuss how we're advancing our supply chain priorities. Here's a reminder of how we approach modernizing our supply chain with some of the proof points we've discussed with you. Our approach of investing capital, building capabilities and consolidating the network will result in more reliable and efficient operations, delivering enhanced margin performance. First, we talk to you about investing capital, for example, in Belleville, where we are expanding the facility and installing new equipment to shift production to one of our most efficient and effective locations. We also work with city and state officials to supplement investments at our Battle Creek location.
 Next, on our Q4 call, you heard about how we are building capabilities through implementing high-performing work systems and through our WK Academy, a comprehensive training program. Combined, these investments in our people create even more capability and engage teams that drive continuous improvement.
 Through the WK Academy, our capability building is already taking root, creating higher levels of engagement, which is showing up in our results. For example, in Q4, we achieved our highest level of customer service in 4 years, which we delivered by improving plant reliability and efficiency. OEE improved across our plants, allowing us to enter 2024 in a more reliable product supply posture. And we are pleased that we have maintained that higher level of efficiency into the first quarter. Finally, at CAGNY, we shared how we were consolidating production on our shred platform that produces Mini-Wheats, from 3 lines at 3 separate facilities to 2 lines at 2 of our lower-cost facilities.
 Now let's turn to Slide 10 for another proof point. Since we became an independent company, we have been working to establish better integration across our teams. In Q1, that integration enabled us to better align our demand plan with our production plan. This provides better visibility to our procurement team when sourcing materials and ensures our manufacturing teams are producing the right product at the right time. This end-to-end connectivity within our supply chain has allowed us to reduce waste through fewer inventory write-offs, which was a positive driver of our Q1 gross margin performance.
 While we're just getting started transforming our supply chain, this is a good example of how our focused and integrated team can drive enhanced margin through improved end-to-end business planning and enhanced supply chain reliability. Each time we have spoken with you, we have provided updates on our supply chain. You can expect that to continue, and we'll provide another update on our next earnings call.
 Finally, let's turn to Slide 11. Since Investor Day last August and at every investor call since, we shared with you the ways in which we're making meaningful progress against our strategic priorities. Our transformation is underway. You can see that in the way our new marketing model is coming to life. You could see it in how marketing sales and supply chain are operating in an integrated way, and you could see it how it's coming through in our financial results. This is all underpinned by the WK Way, our strong and unique engagement across our organization.
 As I said, it's early days, and there's much work to be done, both near and longer term, but we are encouraged by our start to the year. We're executing our plan, and we're focused on delivering on our commitments. 
 And now I'll turn the call over to Dave to walk through our financial results in more detail. 
David McKinstray: Thank you, Gary. As a reminder, due to the spin, our first quarter results and future 2024 results are based on a comparison to our 2023 stand-alone adjusted results, as we believe this provides the best comparable for our business. Further details of these measures and reconciliations have been provided in today's press release and the appendix of this presentation.
 Now, looking at our results on Slide 13, you will see the adjusted net sales for the first quarter were $707 million, a 0.8% decline versus the prior year period. This is an improved trajectory versus our fourth quarter results. As we spoke about in our fourth quarter call, the gap between price and volume continue to narrow for both us and the category during the first quarter. Price realization for WK was 6.3%, offset by volume decline of 7%. Recall, in the fourth quarter, our net sales declined 2.7% with positive price of 7.5% and a volume decline of 10.1%.
 This improved trend in volume is due in part to the lower impact of price elasticities as we lapped our last major price increase in March. Shipment volume also benefited from an increase in retailer inventory versus last year, which we expect to normalize in the second quarter. In the U.S., Frosted Flakes, as Gary outlined, along with Raisin Bran and Rice Krispies were 3 of our fastest-growing brands in the first quarter. In Canada, the business continued its strong performance behind brands like Frosted Flakes and Mini-Wheats. 
 Adjusted EBITDA for the first quarter was $75 million, a 13.6% increase versus the prior year quarter, driven by the benefit of price mix and improved productivity. Our EBITDA growth is a result of our improved supply chain operations and sustained improvements realized in late 2023. In Q1, we also benefited from increased end-to-end focus, which significantly reduced waste. As we step back, the business is performing as we forecasted, and volume and price are narrowing. Our topline has been stable, and we delivered profitability improvement.
 Turning to Slide 14. I will now focus on our operational highlights. Building off our net sales performance I spoke about on the prior page, adjusted gross margin for the first quarter was 29.2%, a 240 basis point improvement versus the prior year. This was largely the result of our operational efficiencies referenced on the prior slide. Recall that in Q4 our gross margin reached the highest level in 12 quarters at 29.2%. And we have sustained that meaningful improvement in gross margin during the first quarter. This reflects a tangible benefit of the focused and integrated way in which we are operating.
 Adjusted EBITDA margin in Q1 was 10.6%, a 130 basis point increase versus the prior year period, driven by the flow-through of gross margin, which was partially offset by higher brand building in the first quarter as we rephased investment from the second half of the year.
 Looking forward, we expect gross margin to continue to be the primary driver of EBITDA improvement. On our below-the-line items, interest expense in Q1 was $8 million and other income was $6 million. Our reported tax rate for the first quarter was 25.9%. For 2024, we now expect our full-year tax rate to be approximately 25%. 
 Slide 15 demonstrates how the unique opportunity of a stable topline and margin expansion is already coming through our results. We showed this slide previously and have updated it to show our trailing 12-month performance through Q1. Looking at this slide, we are consistently delivering net sales in the $2.7 billion range. Our stable topline performance has been a positive catalyst for our margin improvement and has been enabled by our improving supply reliability.
 Next, since Q2 2023, we've seen meaningful increase in adjusted gross margin, gaining 200 basis points. This improvement is primarily related to driving operational efficiencies within our supply chain and from positive price/mix from our revenue growth management initiatives.
 Finally, looking at adjusted EBITDA margin, our gross margin improvement is largely flowing through, and profitability has significantly improved, moving from 8% to 9.8%, a 180 basis point increase on a trailing 12-month basis. Earlier, we spoke to the unique opportunity for WK. In our short time as an independent company, we are already making progress against our first horizon goal of 14% adjusted EBITDA margin as we exit 2026.
 Next, I'll discuss our debt position on Slide 16. We ended the first quarter with $494 million of debt and cash and equivalents of $70 million, resulting in net debt of $424 million, an increase of $14 million versus last quarter. This increase is driven by seasonal impacts of first quarter cash flow, largely due to the payment of incentive compensation within the quarter.
 Overall cash flow for the quarter was slightly ahead of our expectations, driven mainly by timing of investments to stand up the company and exit TSA agreements. We continue to progress on our work in this area, and there is no change to our estimated cash investment of approximately $80 million this year.
 As noted on our fourth quarter call, in 2024, we'll continue to generate positive underlying cash flow, and we expect our total free cash flow to be slightly negative due to the aforementioned one-time investments in standing up the company. Note, this excludes the impact of investment in modernizing our supply chain, which we will provide an update on later this year.
 Turning now to Slide 17. Today, we are reaffirming our 2024 guidance we provided in February on our fourth quarter call. We expect full-year 2024 adjusted net sales growth to be in the range of negative 1% to positive 1%. As a reminder, Q2 net sales will be impacted by the retailer inventory build in Q1. We expect adjusted EBITDA growth in the range of 3% to 5%, which reflects dollar delivery of between $265 million and $270 million.
 Importantly, recall, this EBITDA growth includes lapping the benefit of the one-time insurance recoupment in Q2 of 2023 of $16 million, which impacts the shape of our first half profit delivery.
 And now, I'll hand it back over to Gary to close out the call. 
Gary Pilnick: Thank you, Dave. As we said at the top of the call and what we hope you heard today is that we're on track executing our strategy and driving margin improvement. We know it's early days with more work to do. That said, we are certainly pleased with our first quarter results and how our team is executing, and it provides us with even more confidence for the year.
 Importantly, every day, I see how our culture is building and growing organically, how we are collaborating across the organization to drive the right outcomes for the business is exceptional, and it is showing up in our results. I would like to express my thanks to our team for their continued efforts to drive this business forward. We are executing like a 118-year-old start-up, and we're just getting started.
 I will now open the call to Q&A. 
Operator: [Operator Instructions] Our first question comes from Ken Goldman at JPMorgan. 
Kenneth Goldman: I'm not quite sure I picked up on the amount of the trade inventory load. I think you mentioned that at some point during the call, in the first quarter on dollar, gross margin and EBITDA. Is there any kind of rough range we can think about how much that maybe pushed sales a little bit into 1Q from 2Q? And how we think about that from a profit standpoint as well? 
Gary Pilnick: Yes, Ken, good question. And I'll have Dave get into the details. But if you take a look at in the public data about consumption versus our topline, it's about 1 point. And it's about timing of shipments in the quarter. So, Dave, that's how we would respond. 
David McKinstray: Yes. So Ken, just to elaborate a little bit more. So the public data, we are down just over 1.5%. Our net sales were down about 0.8%. So that's the gap that we're talking about, and we would expect that gap to reverse then as we think about Q2. That's what we alluded to in the prepared remarks. So it's about 1 percentage point on the first quarter volume that will flow through, and you can think about that -- the gross margin or the gross profit and EBITDA profit impact being kind of directly related to that. 
Kenneth Goldman: Okay. That's helpful. And with that context in mind, even if we're kind of reversing that out a little bit, the gross margin in 1Q was still, I think, stronger than many observers expected. I was bouncing back between a couple of calls, so maybe I missed this, but your previous gross margin outlook was for mid-to-high 20% range for the year. You're already at the high end of that. And I think you had previously expected 1Q to be maybe one of the lower rates of the year. So I'm just curious what your thoughts are on the cadence of gross margin as we go through the year with the understanding there is that modest headwind in 2Q as well? 
David McKinstray: Yes. Good question, Ken. So as we think about gross margin, we do pick up a little bit of benefit in Q1 based on it being one of our higher volume quarters. Now there's always nuance between our quarters. If you think about our Q4 then to Q1, as we talked about in the prepared remarks, we've been pretty consistent over the last 6 months at the 29.2%. And as you think of the year to go, there will be some nuance in the quarter, but the fluctuations between quarters will be smaller in nature, and we'd expect our full-year gross margin to be roughly in line with our Q1 performance. 
Operator: Our next question is from Peter Galbo of Bank of America. 
Peter Galbo: Dave, maybe just as a follow-up kind of to Ken's phasing question, I think the price/mix piece of the business came in a bit stronger as well than we had expected kind of in the quarter in the public data. I think now has kind of shown that the price/mix has flipped a bit negative, at least in Nielsen. So maybe you can just help us on the phasing of that for the rest of the year, that line item what you're expecting. 
David McKinstray: Yes. Thanks. So we talked about in the Q4 call the nuance of our list price increase. Our last list price increase that we took in Q1 of 2023 and the fact that we would lap that at the beginning of March. And we saw that play through, right? So if you look at our periodic phasing within the quarter, we saw price realization, P1, P2. And then to your point, we've started to reverse a little bit.
 Now again, there are some nuances we think about what's going on in the marketplace. And that's going to be largely based on some of the things that we're lapping back to Q1 of 2023. And I think that's one thing that the environment of all the different pricing actions, all the different things that are in the base, we always have to remember is what's in that base and so is our promotional activity as we think about that in Q1.
 In Q1 of 2023, we were still having some supply reliability challenges, so as we think about Q1 of this year, we are really able to maximize our promo activity based on higher supply reliability. So we were able to have more brands, more activity across our portfolio. And so that has impacted some of our price realization here in the short term, again, compared to a year ago. Now, as we think about it going forward, we've talked about RGM in the past, and we've talked about the fact -- of the benefit that it plays really within our P&L. And that's something that we want to continue to do.
 And we talked about the focus areas of RGM. So as we go forward, we would think about, hey, we want to realize price. It won't be near as significant as we saw over the last couple of years where we had big list price actions, but we do want to continue to realize price in the marketplace. But remember, there's always going to be nuance between what you're lapping, and then, any short period, any 4-week period or any single week, there can always be nuance in it. So just a couple of things to think about. 
Peter Galbo: Okay. That's helpful. And then maybe just on your point about cash flow. I know you're saying free cash flow or slightly free cash flow negative for the year. The CapEx number in the first quarter came in pretty light, at least relative to what we had. So maybe you can just help us out with expectations around CapEx for the year. 
David McKinstray: Yes. Our CapEx for the year hasn't changed on the full year. What I did mention there in the prepared remarks was the timing of some of our stand-up investments, if you will, being pushed out. So that's going to be the big impact. Now I would expect over the next Q2, Q3, you start to see that increase. So our full-year numbers haven't changed. It's just going to be some small phasing, even just Q1 to Q2, but you'll see that pick up here in the next couple of quarters. 
Operator: Our next question is from Andrew Lazar from Barclays. 
Andrew Lazar: I think with -- the guidance, I think, is calling for sales to be roughly flattish for the year. The category that you said was roughly flat a little bit as well. So it sort of implies maybe holding or gaining a little bit of share going forward. As you mentioned in the quarter, share was still down a little bit, and part of that was because you hadn't fully lapped the last of your price increases. So my question is, I guess, how would you see the cadence of market share progress as you move through this year? What should we look for, right, in some of the data that we all have access to around market share progress? 
Gary Pilnick: It's a very fair question, Andrew. So if you take a step back, and you started saying this, we exited 2023 around 27.8%; exiting Q1, 27.6%. You mentioned the impact of the price lap. That clearly had an impact on our performance. And as you saw us proceed through the quarter, our business sequentially improved. We grew our share in 4 of our core 6 brands. And Canada grew meaningfully as well. It's probably worth mentioning that grew 240 basis points to closer to 40%. So we feel good about where we are.
 And when we think about our business, Andrew, what makes our model work is a stable topline as we expand our margins. So the profit can rattle through the P&L. And right now, the category is stable. So as we look throughout the rest of the year, one thing we did mention was the timing of shipments that occurred in Q1 that will come back to then in Q2. We think some of that will come out. But other than that, I don't think there's anything that's remarkable or worth noting at this point. The key thing for us is making sure we stabilize our top line so that way we can drive value into our business. 
Andrew Lazar: Got it. And then I think last quarter you had mentioned that you anticipated volume to be down, call it, low single digit for the full year. Does that still seem like a reasonable assumption in light of some of your comments on pricing and such? 
David McKinstray: Yes, Andrew, I think if you take a step back in Q1, we were a little bit lower than that. Again, that would have been because of the list price. As we go forward, our anticipation, we get back to the flat dollars, right, so between the down 1% to up 1%. And so what that's going to look like is it would result in full year being down slightly on volume. 
Gary Pilnick: Probably worth mentioning as well. We'd like to talk about how the gap between price and volume -- I'm sorry, about that, Andrew, but the price -- the gap between price and value not narrowing and that happened in the category, that happened for us. So that's also, we think, a positive sign for our business as well as the category. 
Operator: Our next question comes from David Palmer from Evercore ISI. 
David Palmer: A question on the topline drivers. Sometimes it's easy for us to just think about things simply around your recovery in merchandising and promotions and just oversimplifying that. Could you talk about sort of the big picture and where you see the biggest chunks of improvement ahead in terms of key topline drivers, innovation, the distribution recovery and then perhaps layering into what you're doing in sales and merchandising promotions, anything that you think would be useful for us to hear about the proportions of topline improvement that will be coming from each. 
Gary Pilnick: No, it's a very fair question, David. I think the way we would look at it is, we can mention a couple of different things. But why don't we just talk about 2 right now, and Dave, if you want to add anything, feel free. But when you think about our business, first of all, the business is operating as we forecasted. One of the things we mentioned in the prepared remarks was our supply posture coming into the quarter. So I'm going to start with supply chain as actually being something that we look at as a catalyst for our topline.
 I know we -- I know that's our centerpiece of our margin expansion program, but don't underestimate the impact that it has on our topline. And the example here was, as we came into the year, we had talked about our improving service in Q4. That allowed us to be -- come back to more normal activity in terms of the way we were driving our business, our promotional cadence. So that's a big part of what's happening. And we do think that is a tailwind for us as we move forward.
 A second would be is the sales force. We stood up a new sales force. This has been in market now since late -- early fall last year. We have new people, learning new stores with new managers. And in fact, if you looked at the business and the way we improved sequentially throughout the quarter, part of that is coming from our sales force really getting at sea legs and creating those relationships and driving the business forward. So we do think those are 2 notable things in our business that might be unique to us, that we do think would drive our topline as well. So Dave? 
David McKinstray: Yes. I think just a couple of other things to look at. I think in market, in Q1, we grew on 4 of our big 6 brands. Gary talked about that in the prepared remarks. And I think a proof point is what we're doing on Frosted Flakes, and Gary went to that in pretty good detail. So that's really taking the new, how we're looking at reaching out to our consumers, our new marketing model as we call it internally, really taking that, putting it into place and then really taking it down to the shelf. Gary gave a great example about how we're actively doing that. And again, early days, but we have been -- have seen positive results on Frosted Flakes. So I think that gives you an idea or a great example of how we're building this. Frosted Flakes is one of the first brands that we went after within the new marketing model, so how do we really push that out to the rest of our portfolio and really maximize our portfolio? 
Operator: Our next question comes from Max Gumport from BNP Paribas. 
Max Andrew Gumport: You've posted a meaningful beat to start the year, driven by a much better-than-expected gross margin, at least versus how we and the industry has modeled, so as you think through the year-to-go period, are there any notable incremental headwinds? I know you mentioned the trade inventory dynamic in terms of the shift from 1Q to 2Q. It seems pretty small. I'm just curious if you're seeing any other headwinds on the horizon or if you would say you now have more visibility and flexibility in achieving your full-year guidance. 
Gary Pilnick: Thanks, Matt. I appreciate the question. And what I can hear in the question is, hey, whether or not we're confident in our future. And the answer is yes. And in fact, if you go back to February, we were confident when we talked about our guidance for the year, with now 1 quarter under our belts, we had even more confidence as we go forward. The business is performing as we would have expected. You mentioned something about Q2 and the lap of the timing of shipments. The other piece might be, that was in the prepared remarks, we are lapping that one-time insurance payment that happened pre-spin, last year, $16 million insurance payment.
 And recall, our growth absorbs that, so with growth on top of that. Other than that, we do feel good about where we are with the business. Momentum is starting to build. Our confidence, of course, would be -- then build as well because we delivered the first quarter as we expected, and we're pleased that we're able to reaffirm our guidance. 
Max Andrew Gumport: Great. And then just as a follow-up, we've been hearing from restaurant companies and some of your packaged food peers about early signs of a shift to food at home as consumers economize and react to inflation. It doesn't sound like you've really referenced that in your remarks. I'm curious if you're seeing the cereal category showing any early signs of benefiting from that type of dynamic. 
Gary Pilnick: Very fair. I mean right now, when we see the market, we're not seeing anything, any meaningful change in the trajectory of the business, meaning that would be a potential tailwind as we go forward, and I would understand that consumer reaction, but we're not seeing it in the market right now. 
Operator: Our next question comes from Robert Moskow from TD Securities. 
Robert Moskow: I wanted to ask a couple of questions about the margin ramp that you have for the next few years. And you mentioned the new equipment that you'll be spending on. Can you give us a sense of the degree of like unlock that this investment provides you? Like is it very fast? Is it high-efficiency equipment that can boost margins parabolically in kind of your out years?
 And then the second question is, once you're out of this TSA agreement, is there any noise we should be aware of in terms of like margin progression, just like into 2025? 
Gary Pilnick: Thanks, Rob. It's an excellent question. So let's talk about supply chain right now. And what you're referring to is one of our key strategic priorities of modernizing our supply chain. You heard us earlier actually reiterate the overall plan that we talked about back in Investor Day about growing -- expanding our margins by 500 basis points, from 9% to 14%. 
 We also talked about the timing. We reiterated that, that would be the run rate coming out of 2026. So that continues to be the way we're looking at this right now. We could see that flowing through the P&L. And we have talked before that the margin enhancement will follow the investment as well. So that's what you -- I think we should all expect to see over the next couple of years. I will tell you, one of the things that encourages us as a great deal about modernizing our supply chain, the Board, senior executives, we were in the plants last week, the enthusiasm is calming through from our people.
 And what's key for us is when you match your financial investment with your investment in people, that's what makes the impact enduring. So we're excited about that program. We always have been. You heard me talk about that, not just for margins, but that's for the top line. So we feel very confident about our ability to take that forward. I'm going to turn it over to Dave in a second, he'll probably get into more detail. But when you think about TSA, we're not seeing a major inflection point as we come off the TSA, and we started operating on our own. But Dave, I want to turn it over to you for both. 
David McKinstray: Yes. Rob, thanks for the question. A couple of things I would say on that. I think if you look at our margin progression over the last 6 months or so, a couple of things I'd mention is our supply chain modernization. We've talked about it being a multipronged approach. And we're confident we've seen some of the early benefits of that as we think forward. I think Gary put it well of how we'd step into that 14% that he referenced.
 On the TSA, just one small addition, 2 big areas where we have TSA. it's going to be through our distribution and then in our IT infrastructure. And how we've really built the TSA is that there's not a margin headwind or tailwind. So as we're stepping off, we're ramping up, right? So those costs are really just being transferred from Kellanova as a TSA provider to other third party or our own infrastructure, whatever it may be, right? So you can think about those overall cost considered in our P&L, and they're relatively smooth. They shouldn't be a big headwind or tailwind as we progress. 
Robert Moskow: Okay. I do have a follow-up. Last year, you talked a lot about your master brand strategy and advertising and one particular execution of that. And then this year, I think you got some criticism from some unexpected places. Has anything changed regarding the strategy for master brand advertising or regarding the execution itself? 
Gary Pilnick: Yes. It's a terrific question. When we talk about that, we talk about multi-brand. When you think about multi-brand, the reason why that's effective for us is we get to advertise a combination of brands at the same time with a similar message. That's what we're able to do. So by doing that, you could just imagine the returns would be that much better because we can get to our consumers with our great brands with one message. So that will be something that I think we'll continue doing going into the future because we think it's quite a good strategy overall, and we can apply it to a variety of different brands in different circumstances, terrific question. 
Operator: Our next question comes from Rob Dickerson at Jefferies. 
Robert Dickerson: Great. Maybe just first question. I think I heard you say that Q1 is usually kind of like a naturally higher volume quarter, which I understand. I'm just curious since this is -- there are a lot of moving pieces to the new co. Kind of like how you think about general seasonality of the business? And maybe more specifically, like how you would think about maybe Q4 seasonality relative to Q1 if we were kind of in a normal, not awkward kind of year-over-year dynamic? 
David McKinstray: Yes, Rob, so thanks for the question. I think, one, a couple of things, is seasonality has actually changed a little bit. We've seen it change a little bit as we progress through COVID. It will be interesting to see do we continue to move back towards pre-COVID seasonality, do we find a new season. So that's something we're still working through a little bit, right? But I would say here is generally the shape of our seasonality is Q1 has traditionally been the highest volume quarter for this business. There's a lot of activation around the first of the year.
 In January, it's typically one of the higher promoted periods of the year. So that really drives Q1. There's a lot of consumer back to routine after the holidays, those type of things. The other big thing I would talk about is back to school, right? That's another area where, again, back to routine, you're typically getting into the pantry, all those different things.
 Then Q4. Q4, of course, you have 2 big seasonal dynamics or holiday dynamics, I guess, I should say, around the Thanksgiving holiday and then the Christmas holiday. What that typically does is you lose in the store, there's a lot of shelf activity, display activity geared towards those holiday seasons, right? So that's typically going to be another area where everyday routines are disrupted, right? So that's going to be a lower volume quarter for us traditionally than Q1. 
Robert Dickerson: Okay. Fair enough. And then I guess just kind of speaking to the full-year guide on EBITDA. There have been a lot of questions kind of, if there are other headwinds forthcoming or how should we think about Q2. But kind of broadly speaking, right, I mean clearly, if you kind of run rate Q1, you're ahead of the guide. It sounds like they're kind of -- we have the insurance lap impact and a little bit of the inventory piece kind of in Q2.
 But then also, like as you think about the back half, and clearly, like back half is lower than the first half, but all of that said, kind of rolled up into one, it's like even to kind of get to the high end of the '24 EBITDA guide, I mean it clearly implies that Q1 is the highest EBITDA quarter. And then, maybe kind of speaking to seasonality, that maybe like Q4 is the lowest EBITDA quarter.
 I'm just trying to, I think, kind of understand broadly, like, hey, you had a great Q1 and gross margin is better, why not raise the EBITDA guide? Well, there's some one-offs, okay, maybe Q2. But then is there anything else we should be thinking about back half? Felt a lot in there, just trying to gauge kind of the cadence of EBITDA and why not raise the guide. 
Gary Pilnick: No, it's a terrific question, Rob. And the way we're thinking about it is this, this is the very first quarter of our very first full year. It's certainly early days. We're pleased with the way the business is performing. In fact, it performed the way we thought it would perform. So our view is it feels prudent right now to say, hey, we're going to reaffirm our guidance. We're pleased that we could do that. It's also fair to say when we were confident saying it at our Q4 call, we're that much more confident saying it now because we have a quarter under our belt. So that's really the way we're thinking about it. But I appreciate your question. 
Operator: [Operator Instructions] We have no other questions in the call, so I'll pass the floor back to Gary Pilnick to conclude. 
Gary Pilnick: Thank you for joining our call today. I hope you heard that we're on track, hope you heard that we're executing our strategy, all of which gives us confidence for the business going forward. We look forward to sharing our Q2 results with you in August. Thanks for joining us. 
Operator: This concludes today's conference call. Thank you all very much for joining.